Operator: Good day, ladies and gentlemen. Welcome to the Q4 2013 Commercial Vehicle Group Incorporated Earnings Conference Call. My name is Michelle and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to hand over the call to Mr. John Hyre, Director of Investor Relations. Please proceed, sir.
John Hyre - Director, Investor Relations: Thank you. And I’d like to welcome everyone to our conference call this morning. Rich Lavin, our CEO will give a brief company update and Tim Trenary, our CFO will then take you through our 2013 fourth quarter and year end results. We will then open to a question-and-answer session. I would like to remind you that this conference call is being webcast. It may also contain forward-looking statements including, but not limited to expectations for future periods regarding market trends, cost saving initiatives and new product initiatives among others. Actual results may differ from anticipated results because of certain risks and uncertainties. These risks and uncertainties may include, but are not limited to the economic conditions and the markets in which CVG operates, fluctuations in the production volumes of vehicles for which CVG is a supplier, financial covenant compliance and liquidity, risks associated with conducting business in foreign countries and currencies and other risks detailed in our SEC filings. I would like to now turn the call over to Rich.
Rich Lavin - Chief Executive Officer: Thanks, John. Good morning everybody and welcome to our call. As we mentioned in our earnings release, our full year 2013 revenues were primarily impacted by an 11% decrease in North American truck production when compared to full year 2012. During 2013, our global construction revenues also declined when compared to 2012 principally due to customer de-stocking and industry declines in the end markets and regions CVG serves. Despite these market challenges, we are pleased that the cost savings actions we took in previous quarters are reflected in our improved performance. As part of our efforts to improve our cost structure, we initiated a reduction in force that eliminated approximately 5% of our salaried staff. We also closed two facilities in North America. However, I would like to emphasize we are not just focused on cost reduction actions we plan to continue investing in our diversification strategy to grow CVG, improve results and make the company less cyclical over the long-term. Over the summer, we began in-depth evaluation of our business, which led to the identification of a number of key initiatives intended to enhance our growth prospects and profitability. Going forward, those initiatives will support our goal to build a performance-based culture concentrated on three key areas: best products, best people and best culture. As you know, CVG has been a product-focused organization and we will remain product-focused organization going forward. As demonstrated by our North American truck business, we have world-class processes in place to design, manufacture and introduce products to meet our customers’ expectations. As we make plans to grow our business globally, we anticipate customer expectations in markets outside the U.S. will be different in terms of technology features and price points. With that in mind, during the year, we reorganized the CVG leadership team to become much more sharply focused on global customer needs. We now have three global end market focused divisions, each led by a President with global accountability and a mandate to manage their respective businesses from a customer perspective. This mandate covers the design, manufacture, marketing, sales and overall profitability of their portion of CVG’s global business. Three business units, these business units are defined as global truck and bus, global construction, ag and military, and global aftermarket and structures. The purpose is to establish an executive leadership team that is globally focused and intensely concentrated on every customer’s unique needs and expectations. We continue – we intend to continue to build on our very strong position in the North American heavy truck market. We believe, however, that significant opportunities for growth are based outside the mature North American market, principally in China and the broader Asia-Pacific region. We also believe we have significant opportunity to leverage our existing product lines of product development expertise into organic growth particularly in the construction and agricultural end markets. Beyond international growth, we know opportunity exists for us to further penetrate construction and agriculture within North America. We continue to be very confident in the industries we serve transportation, construction, mining and agriculture. Growing populations and increasing urbanization particularly in China and other developing markets will drive demand for heavy duty trucks to deliver goods and materials, mining equipment to enable extraction of the commodities needed to support the infrastructure needs, construction equipment to build the roads, bridges, ports and infrastructure that accompany urban expansion and agricultural equipment to plant and harvest the crops needed to feed an increasing global population. We supply and support the OEMs that build the machines that will meet these growing needs. And we are working to ensure we continue to provide each of our OEM customers with highly differentiated value adding cab systems and components as demand for their products grows. China continues to be very important market for us and we are optimistic about our ability to build our business in line with growing demand for transportation construction, mining and agricultural products. Although GDP growth forecast for China are not at the double digit levels enjoyed by China over more than 30-year period, they are still projected to be in the 7% to 7.5% for ’14 and going forward. And this is the growth rate applied to an economy that is much larger today than it was five years ago when China’s GDP was growing 11% and 12%. In China, we have been successful in developing opportunities with a number of multi-national and domestic construction equipment OEMs. And we have established supply arrangements with several Chinese truck OEMs, including Foton. Although the level of demand from Foton has not ramped up in line with our early expectations in part due to increasing local competition. We are continuing to work with Foton on the design and development of their next generation truck seat. And we expect to maintain a strong relationship with Foton going forward. At the same time, we are developing supply opportunities with other Chinese OEMs and are confident that our overall business will develop consistent with our expectations. Our broader corporate strategy also includes the new emphasis on stronger marketing and new product development initiatives that will improve our product design and the introduction processes and our go to market capabilities. We recently implemented a product line organizational structure to better enable execution of our long and short-term product and go to market strategies. This included new product line manager positions for each key end market to establish common solutions to meet our customers’ needs and to streamline and standardize internal practices. The product managers will have full P&L responsibility as well as marketing research and sales coverage accountabilities. To deliver improved financial results, our plan calls for us to continue to make sure we are driving best practices, peak productivity and efficiency and the highest quality in everyone of our manufacturing facilities around the world. In addition, to process improvement we are focused on hiring, training and developing everyone of our employees in a culture that both empowers and enables them to make CVG a highly competitive global supplier. Finally, may of you ask about our M&A strategy, we will continue to examine acquisition candidates that meet our strategic growth criteria and present opportunities for CVG, however, will be sharply focused on organic growth opportunities and global expansion plans in the coming years. As we move into 2014 and continue the execution phase of our initial plan, we envision a company that will be more efficient, that offers best in class value adding products for our customers that is more global and that is better engaged with our customers around the world. Looking forward we are encouraged by CVG’s potential for increased organic growth and deeper penetration of our end markets. We believe that over the long-term our efforts will deliver improved results and increased shareholder value. And with that I will turn the call over Tim for comment and we look forward to the Q&A period. Thank you.
Tim Trenary - Chief Financial Officer: Thank you, Rich. As compared to the prior year, 2012 our top line and therefore our financial results were adversely affected by reduced builds in the North American heavy duty truck market and by the cross – decreased production volumes in certain parts of the global construction equipment market we serve. In 2013, we took actions to improve our cost structure, to enhance our margins and to otherwise position the company to benefit from a number of operating initiatives at CVG. Regarding fourth quarter 2013 financial results, revenues were $183 million, an increase of $9.7 million or 6% compared to the fourth quarter of 2012. On a sequential basis that is compared to the third quarter of 2013, our revenue declined $4.9 million or by 3%. Operating income in the fourth quarter was $8 million compared an operating loss of $2.3 million in the fourth quarter of 2012. Compared to the third quarter of 2013, our operating income increased $11.4 million on a $4.9 million decrease in revenues. Net income for the quarter was $1.1 million or $0.04 of EPS on a fully diluted basis. Our financial results in the fourth quarter benefited from actions taken during the year, including some manufacturing capacity rationalization earlier in the year and a reduction in force and reduced spending on certain discretionary items later in the year. With respect to full year 2013 financial results, revenues for the year ended December 31, 2013 were $747.7 million compared to $857.9 million from the prior year. This was a decrease of $110.2 million or 13% due primarily to a decrease in North American Class 8 production volume and reduced construction market revenue. Operating income for 2013 was $6.4 million compared to $44.1 million in the prior year. Net loss for the year ended December 31, 2013 was $12.4 million, or $0.44 per diluted share compared to net income of $50 million, or $1.76 per diluted share in the prior year. The decline in net income was a result of a decline in sales volume due to market conditions and an income tax benefit of $27 million recorded for the year ended December 31, 2012 primarily related to the release of a valuation allowance. As has been previously disclosed, pre-tax 2013 net income was impacted by $2.5 million in expenses associated with the executive leadership change, $1.8 million of charges for employee separations, $2.8 million of third-party consulting services, and $2.7 million of impairments of manufacturing equipment and IT systems. SG&A for the fourth quarter was $12.3 million and $71.7 million for the year. We were pleased that actions taken in the last two quarters of the year reduced our SG&A expense in the fourth quarter and therefore improved our financial results. These actions represented both structural changes and near-term cost containment actions. Importantly, some of the changes represent a repurposing of our historical SG&A spend that, beginning in the first quarter of 2014 will position the company for future growth. Accordingly, we anticipate that in 2014 SG&A expense will return to a level more consistent with historical results as we invest to further develop CVG. These investments include the development of a centrally-led procurement organizations, deployment of an institutionalized operational excellence program and enhancements in the manner in which we go to market and develop our products. Depreciation was $4.6 million in the fourth quarter and amortization was $384,000. Fourth quarter capital spending was $3.5 million. For the full year 2013, depreciation was $19 million, amortization $1.6 million, and capital expenditures $14.9 million. We anticipate capital spending in 2014 to approximate $20 million. The effective tax rate for the year was 16%. Our effective tax rate is highly sensitive to the geographic development of our earnings and other events. Having said that, we expect the effective tax rate in 2014 to be in the range of 35% to 45%. We finished the year with $72.7 million of cash and approximately $29.7 million of availability from our ABL. Looking forward we anticipate that 2014 North American Class 8 truck builds will be in the range of 250,000 to 275,000 units. And we estimate that global construction equipment market will increase modestly in 2014 compared to 2013. We expect respectable GDP growth in China. For all the reasons, Rich advanced in his comments, we believe there remains significant growth opportunities in the East. To conclude, we finished 2013 with a solid balance sheet, a balance sheet that affords the company flexibility in the achievement of our goals in 2014 and beyond. We took a number of actions in 2013 to adjust our cost structure, to better enable CVG to deliver shareholder value. Our end markets appear to be reasonably healthy as we move into 2014 and we look to further developing CVG during the year. With that, we will open the call to questions.
Operator: (Operator Instructions) The first question comes from Mike Shlisky from JPMorgan. Please proceed.
Mike Shlisky - JPMorgan: Good morning. So wanted to quickly start off just with a question about your return, perhaps a ramp up of some of your SG&A spend going forward, could you maybe tell us a little bit about the cadence of how that comes back and then perhaps how soon after it ramps do you expect to see top-line ramp as a result of your investments?
Tim Trenary: Sure. Mike, we have most of the elements of our, if you will, transformed SG&A cost structure in place here in the first quarter of 2014. So to the first part of your question, I would expect that the SG&A expense beginning in the first quarter of 2014 will be more in line with the historical expense of the company, so beginning in 2014, more historical SG&A expense. In terms of the impact of these actions we have taken in the repurposing, if you will, of the SG&A expense, my experience is frankly that it takes generally a leasable amount of time for those benefits to be reflected in the company’s financial performance. As you can imagine, as we institutionalize the operational excellence programs, develop the centrally-led procurement organization, it just takes a little bit of time for them to get traction and to be reflected in the financial results. So I don’t frankly anticipate lot of financial improvement from that until later in the year.
Mike Shlisky - JPMorgan: Okay, great. Thanks. Then I just wanted to touch on your Class 8 truck outlook for 2014, it’s a pretty broad range you have got there. We have seen some fairly robust orders the last few months. Just wanted to see if what we are seeing in the last two months or so continues could you see yourselves skewing towards the high end of your current outlook or are you seeing maybe issues a little bit later on in the year that might temper your view?
Tim Trenary: Yes. Mike, your point is well taken. The order rate I think here for the last three months has been frankly quite handsome and should that order rate continue, I would expect that the production volume during the year would be closer to the higher end of that range. That would be a good thing, nice to have a tailwind for a change.
Rich Lavin: If I just add to Tim’s comment, we are planning at the lower end of the order range I guess at this stage, but we are also planning to increase production if we see an uptick in the order rate. So we are planning at the lower end of the range, but also looking forward to taking advantage of a little bit of tailwinds if order rates increase.
Mike Shlisky - JPMorgan: And then just to kind of follow-up on that, and last first quarter was a trough in the overall market production. So looks like there could be some pretty solid double digit, well into the 20% growth range here in the first quarter, is that in line with kind of what you have been seeing so far in the quarter and is it possible we could see some pretty decent growth in the top line year-over-year on that market?
Tim Trenary: Well, I would say that given the comp with first quarter 2013, we are looking at improved I would say top line in the first quarter of 2014. Too early to say how much we expect to see the top line improve, but I would say that with the order rate and some positive news in construction and ag, we can see an improved top line relative to first quarter 2013.
Mike Shlisky - JPMorgan: Great, if I could just slip in one last one here on the content mix, hearing the comments from Volvo, they had some very strong orders the last few months, probably even stronger than the overall market, I know in the past you have had better mix – better content from the Volvo brands, I guess is there a possibility that if that were to take place could your performance in the Class 8 market outperform the overall market forecast?
Tim Trenary: Yes, I mean that’s certainly one of the things we are looking at internally Mike. Your point about mix is spot on, that’s one of the things we are modeling as we look at first quarter performance for CVG.
Mike Shlisky - JPMorgan: Alright, guys, thanks so much. I will pass it along.
Operator: Thank you. The next question we have comes from the line of Robert Kosowsky from Sidoti.
Robert Kosowsky - Sidoti: Hi, good morning guys, how are you doing?
Rich Lavin: Great.
Robert Kosowsky - Sidoti: Pretty good, I was just wondering, just briefly, what does repurpose of SG&A mean. And could you shed a little bit more light into what some of the expenses that were reduced, just some specifications on that, just because it’s hard to kind of comprehend SG&A could have fallen by the magnitude it did in such a short period of time?
Tim Trenary: Sure. So, let me explain first of all the use of this term repurposing. This company and I guess many companies sometimes can find ways to spend the money that they spend on items that might be more value accretive than they would otherwise be. So more specifically in our example here Rob, as Rich mentioned the company undertook a reduction in force in 2013, which allow the company to basically take that amount of money that was being spent and to spend it on activities in 2014 and beyond that we believe will have more benefit to the company, more specifically as I mentioned in my comments the development of a centrally led procurement organization, the way we go to market, operational excellence, etcetera. So that – whenever we mentioned, when I say repurposing that’s what I mean. Now, with respect to the financial results in the fourth quarter of ’13 and the reduction in the SG&A expense third to fourth quarter and quarter-over-quarter not only was that reflective of the reduction in force, we have not sort of built out these new teams yet, so that’s being implemented in ‘14. So we had the benefit of that through most of the fourth quarter of ‘13. But the quarter also benefited by a reduction in the accrual for the company’s short-term incentive plan. So as compared to previous quarters because of the reduction in the accrual for the incentive plan in the fourth quarter there is a benefit that’s reflected in there. The other item is I think we have mentioned this on previous calls, to the extent the company could take actions on what are called discretionary spend, by the way of example, travel. In the fourth quarter to improve our near-term financial results we did that. Now, as you can appreciate those sorts of changes generally are not sustainable over the longer term. So as we look to the SG&A spend in the ’14, I would expect those expenses to come back into the cost structure. So that’s basically the reason for the reduction in the fourth quarter of ‘13 and why I think that the SG&A spend although backup in line with historical results beginning in the first quarter of ‘14.
Rich Lavin: Okay. Bob, just let me add a comment if I could. This is I think my third results call, it’s Tim’s second, one thing that’s been consistent across each of those calls is our discussion about being focused on organic growth. And so as we looked at the organization in the last half of 2013 in the context of the organization the resources that we need to drive organic growth on a global basis across our product lines, we essentially shifted SG&A from what I would characterize as non-revenue, non-profit generating areas of the company into resources that are focused on driving organic growth, driving revenue, driving profitability. Tim mentioned a couple of those, the product line managers, the go-to-market resources, the global purchasing organization and resources, the product development resources, I think that we are now investing in the areas that will enable us to move ahead with an aggressive organic growth strategy on a global basis.
Robert Kosowsky - Sidoti: Okay, that’s very helpful. And then can you maybe frame the longer term opportunity you see on the cost structure side, just as you implement the standardized production processes to the plants and the opportunity you have on raw material sourcing and utilization and kind of how long of a process? I know I appreciate a lot of this is going to be kind of a continual long-term exercise, but any idea of when like the major heavy lifting needs to – how long the heavy lifting needs to go on for and kind of frame some of the margin potential down the road?
Rich Lavin: Yes. So the items that you just described are items that we intend to constantly evaluate. This isn’t a sort of one-off our exercise. We intend to in the normal course evaluate our manufacturing capacity, utilization, our footprint, our cost structures in our facilities etcetera. So as it relates to the footprint to the extent we make additional changes that obviously will manifest the benefit of that, will manifest itself from our financial results later in the year. With respect to operational excellence as I mentioned, we are rolling that out. It’s been institutionalized. I think, we have rolled it out now in three facilities that I can recall, three or four. The rollout continues. So as that sort of gets some institutionalized, we will see some benefit of that, I hope later in the year. As it relates to your question around the procurement, we have now onboard the leader of our centrally-led procurement organization. He is in the process of developing his organization and staffing it. Then he will be undertaking the sort of activities you would expect him to undertake to rationalize the supply base etcetera. So that frankly the benefit of that, by the time all of that gets organized and gets implemented and analysis is done. Again, that’s a benefit I think that we hope will start to show up later in the year.
Robert Kosowsky - Sidoti: Okay, that’s helpful. And do you expect all these benefits to go into new product development and increased spending on growing the sales organization or are some of these benefits going to actually drop to the bottom line, because a lot of times companies will generate productivity and just plow that right back into growth initiatives?
Rich Lavin: Well, Rob, I would say it’s probably going to be a combination. As Tim described, especially in operational excellence and global purchasing, we are kind of in the discovery phase at this point. I think given the experiences of the number of people in the company with global purchasing organizations and with operational excellence initiatives, we have an idea of what to expect in terms of long-term savings through greater efficiencies, productivity and leveraging synergies in the supply base. Some of that will drop to the bottom line. Some of that will be reinvested in the business. I think it’s really a question of how we see our organic growth opportunities developing in our key industries on a global basis. But I can’t give you a percentage breakup at this point, but I can say that some will drop to the profit line, but some will also be reinvested in organic growth initiatives.
Robert Kosowsky - Sidoti: Okay, that’s helpful. And then finally any concrete sales leads for the new sales structure? And just to kind of get a better idea of the growth opportunities, you have very proven products, is there an opportunity for you to displace a competitor on something that’s already in production or we have to wait for the next platform to be launched?
Rich Lavin: No, we think they are both short-term and long-term opportunities. As I mentioned in my opening comments, we have I think a very proven process in working with some of the truck OEMs on a global basis. So we are looking at really transitioning some of the expertise, design and process expertise to the construction and the ag ends of the business, but they are going to be some short-term, they are going to be some long-term. The key challenge I think for product line managers is to really understand the long-term development needs of our key customers or key OEMs. And then also to work between, I would say, long-term product development stages to identify opportunities to develop sales and take share in the interim. So, it’s going to be both. It’s going to be longer term, but there is also going to be some short-term opportunity that spills out of this.
Robert Kosowsky - Sidoti: Alright, thank you very much.
Rich Lavin: Yes.
Operator: The next question we have comes from the line of Gregory Macosko from Montrose Advisors. Please proceed.
Gregory Macosko - Montrose Advisors: Yes, thank you. Yes, with respect to the discussion of the manufacturing footprint, etcetera and your key customers, I know in the past with respect to CVGI being very responsive to your customer’s need and changes in assembly required availability of labor so that you could ramp up and down. Could you talk about that and how you expect to deal with that going forward and is that something that should be a concern?
Rich Lavin: So Greg, as I sort of think about how we evaluate, we look at our footprint, there is – at the highest level, there is three sort of elements that is the extent to which by sometimes consolidating operations we can realize manufacturing efficiencies. Another sort of consideration is any logistical impact on our customers or on our company as a consequence of moving manufacturing facilities. And the third is as you mentioned our customers. Our customers, I don’t know this to be universally true, but my experience is that they generally appreciate it when our facilities are closer rather than farther away from their facilities. So to the extent we can accommodate that within the balance of the other two considerations. We certainly do so. I don’t think that any of what I just said really has a whole lot of bearing on how we staff these facilities with respect to the flexibility of our labor, we do try to maintain appropriate balance of labor flexibility as between full-time employees and temporary employees, but I don’t really think that, that has a whole lot of consideration in terms of defining, if you will, our footprint.
Tim Trenary: Greg, just one other point, I think we mentioned earlier that we are trying to drive the much sharper customer focus in the design of our products. The whole footprint discussion has also been from the customer back. So the objective here is to rationalize the manufacturing footprint in a way that helps our cost structure, but also in a way that does not diminish our ability to serve our end customers. So, I mean, the outcome here is to be in no worse positions, at least no worse position in serving our customers than we were in the footprint before we rationalized manufacturing locations.
Gregory Macosko - Montrose Advisors: Well, good. It sounds like you have got everything in mind to do that. Thank you.
Operator: Okay. The next question we have comes from the line of Robert Kosowsky from Sidoti. Please go ahead.
Robert Kosowsky - Sidoti: Yes, just one quick follow-up question regarding North America truck, I know the order rates are very strong, have you started to pre-buy any hard to get materials just in case there is that spike in production rates that the industries known to create sometimes?
Rich Lavin: Well, as I mentioned, we are taking a look at our production schedules, our material schedules in the context of what we are forecasting in the way of increases. And we are looking at material end as well. If we see that the early trend in orders are going to carryover into a much stronger truck industry in 2014 we will certainly do what’s necessary in material pre-buy to position ourselves to take advantage of that.
Robert Kosowsky - Sidoti: Alright, thank you very much.
Operator: At this time you have no more questions. (Operator Instructions) There are no more questions coming through. At this time I would like to turn the call over to Rich Lavin, CEO, for closing remarks.
Rich Lavin - Chief Executive Officer: Yes thanks, Michelle. Just a couple of quick comments to wrap up the call, thanks to everybody for calling in and thanks for your questions. As I mentioned earlier this is my third results call, its Tim’s second. And I hope you have seen that we have fundamentally very purposefully changed the business in several respects. We have talked about reducing SG&A and repurposing some of that spend away from what I would characterize as kind of pure overhead in the areas of the company that are going to drive organic growth, drive profitable organic growth going forward. We have got a globally focused leadership team in place with end-to-end accountabilities for developing their global businesses. We centralized the global purchasing organization to drive synergies and cost reduction opportunities proactively with our key suppliers. We got a much sharper global focus I think on our overall global business portfolio and we look forward to sharing results of that focus on global organic growth with you in the future. And finally, the product line managers I think are going to be a key add to the organization from the design of the product to go to market with customers in reducing I think a much better understanding of end customer expectations into our design and go to market strategies. We have talked extensively about driving global growth and I hope you see that we are not organized and resourced in ways which will enable us to move ahead with those organic growth strategies. So we look forward to sharing our results in the coming quarters. And thanks again everybody for calling in.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Please enjoy the rest of your day.